Operator: Good morning, everyone, and welcome to the Docebo Inc. Second Quarter Earnings Call. All participants are currently in a listen-only mode. Following the presentation, we will open the lines for a question-and-answer session for analysts. Instructions will be provided at that time for research analysts to ask questions. [Operator Instructions] I'd now like to turn the call over to Docebo’s Vice President of Investor Relations, Mr. Mike McCarthy. Please go ahead, Mike.
Mike McCarthy: Thank you, operator. Before we begin, Docebo would like to remind listeners that certain information discussed today, maybe forward-looking in nature. Such forward-looking information reflects the company's current views with respect to future events. Any such information is subject to risks, uncertainties, and assumptions that could cause actual results to differ materially from those projected in the forward-looking statements. For more information on the risks, uncertainties, and assumptions relating to forward-looking statements, please refer to Docebo's public filings, which are available on SEDAR and EDGAR. During the call, we will reference certain non-IFRS financial measures. Although we believe these measures provide useful supplemental information about our financial performance, they are not recognized measures and do not have standardized meanings under IFRS. Please see our MD&A for additional financial information regarding our non-IFRS financial measures, including reconciliations to the nearest IFRS measures. Please note that unless otherwise stated, all references to any financial figures are in US dollars. Now, I'd like to turn the call over to Docebo's CEO, Claudio Erba.
Claudio Erba: Hi, everybody, and thank you for joining us for our second quarter earnings call. With me today is Alessio Artuffo, our President and CRO and Sukaran Mehta, our CFO. Revenue for June represented another quarter of consistent execution and solid overall performance for the company. Adjusted for the impact of foreign exchange, ARR and revenue for the quarter was in line with our expectation and we are pleased to report positive free cash flow generation based on our commitment to balance growth with profitability. We did experience some impact from certain enterprise deals that are being stretched out of the quarter. We continue to watch the evolving macro dynamics. Let's say that demand for our solutions suite is solid and our fundamental growth drivers are intact and healthy, anchored by our ability to support the complex external, internal and hybrid needs of our customers learning journey. This provides us a long runway for organic growth that is supported by a total addressable market that enables our enterprise customers to deliver external learning that is a core to their revenue generating operation and continuous productivity enhancement. It is important to note that the total addressable market for our external training, where the table is best in class is about twice as big as the internal use case. In addition to the high-profile labor training and retention challenges being accelerated by the macroeconomic environment, there are several fundamentally strategic drivers we will keep you focused on does include training to drive customer and partner success, as well as revenue enablement. Our customer have growing reliance on training with their own partner ecosystem and they require considerable offering that are easy to deploy and cost effective. Such drivers showcase that's one size fits all legacy centralized system are unable to meet the needs of today and tomorrow certifying greenfield, upsell and displacement opportunities. Simply layering on a nice pickup ability cannot drives a lack of feature of their ability to integrate into a complex evolving software stack. It’s here that in an innovative disruptor like Docebo is eagerly positioned to gain mind and market share. We're implementing our solution, customers are not weighted down by silos, but instead can leverage for the rated ownership model where a single LMS serve as a multi-department system with multiple owners [indiscernible] both external and internal use cases as well as displacement and greenfield opportunities. This federated ownership expand our horizontal platform reach across multiple buyer persona inside the organization, each with their own unique voices and nuances. In addition to creating the stickier customer this is also have been through the number of internet customer engaged in the sales process, including the CTO or CSO whose focus either to streamline and consolidate their tech stacks. And while these makes for a longer sales cycle it bring [indiscernible] to the nature of the strategic partnership that those customers are looking for. In short, our opportunities are many and we are executing well against the growth strategy we have set in place to capitalize on them. We are doing these by gaining share in a large under-penetrated market where the [indiscernible] macro environment provides an opportunity to gain valuable main share. Keeping our priority focused on growth and making the investment to drive that outcome without second time profitability, maintaining a strong balance sheet now supported by positive free cash flow generation. Through our balanced investment we have positioned ourselves extremely well for the upcoming cycle and we are generally excited about how this environment will serve as a catalyst for further innovation and disruption to the legacy LMS status quo. Now I would like to turn the call over to Alessio who will give you an operational update.
Claudio Erba: Thank you, Claudio and good morning everyone. In my prepared remarks for you today I want to lay out three points upfront. First, the business of customer education and revenue enablement are priority investments for our increasing base of enterprise customers. Second, external use cases are particularly stronger in our analysis of the market, with a large greenfield opportunity to capitalize on and the TAM that is twice as large as the internal use case market. Third, customers that adopt more than one use case yield better unit economics and are exponentially more sticky. During the quarter we saw deal cycle lengthening the enterprise segment, with more decision makers specifically CTOs and CFOs getting pulled in for approvals. We do expect to see this trend continue as a result of the wider macroeconomic pressure. That said, we're engaging more frequently with corporate executive teams to provide a learning platform that spans across the wider organization. The move to consolidate a technology stack in this economic environment plays really well to our strengths as follows. First, learning solutions must be flexible enough to integrate into and serve the needs of both internal employees and their customers network, effectively handling multiple use cases on a global scale. Second, we are increasing productivity and efficiency both for our customers, as they look to move away from unsustainable old school legacy LMSs in favor of a more modern architecture. Finally, Docebo provides ease of deployment and delivers favorable ROI and fast time-to-value. During the June quarter, we added 159 net new customers with more than 60% of our deals coming from our mid-market and enterprise segments. Cross sells and upsells both performed well as our sales team improved their effectiveness in how they position our expanded learning suite. While go-to-market motion is improving, we know we have a tremendous opportunity for upside, especially as we focus on ramping our sellers and upscale our organization. A good example of the excellent progress we made this past quarter is Chipotle’s decision to implement [indiscernible] to replace their existing LMS. Their goal is to offer immersive learning and development opportunities by upscaling their employees for future roles within the company. With this win we are emerging as a leader in the quick service restaurant industry, where we've signed over 15 customers. In addition to Chipotle, other notable customers include [Dennis] (ph), IHOP, Smoothie King and one of the largest burger fast food chains in the world comprising of several well-known name brands. Geographical expansion has always been one of our pillars of growth. A demonstration of our increased presence in the European markets in the fully loaded deal we signed with British United Provident Associations Limited, more widely known as BUPA. BUPA is an international healthcare service company serving over 38 million customers worldwide that shows Docebo’s full suite offering for its innovative design and easy to visualize analytics. We were extremely happy to displace a legacy competitor and win the on-boarding use case of a large publicly traded US based mortgage services organization. We initially signed with this customer a year ago for an external solution for training their customers. In quarter two, we expanded this relationship to support their internal on boarding compliance and professional development use cases. It is a combination of our selling motion, product architecture and [indiscernible] functionality that enables us to displace a legacy incumbent like in this project. This is a great example of how we work to create a very sticky long-term relationship with large enterprise customers. And lastly, a week ago Amazon Web Services went live with the launch of AWS skills builder subscriptions, powered by Docebo. AWS introduces this premium paid subscription for individuals and teams looking to bolster their cloud computing skills. This launch demonstrated that the Docebo learn platform is enabling the success of one of our most advanced customer environments and is a testament to the dedication of our product, engineering and professional services organization. Turning to our product investments and strategy. The past two years have served as a tremendous learning cycle for our entire product management and development. We're improving new module performance with direct customer feedback on the learner experience and our roadmap is focused on both harmonization of capabilities within use cases and innovation, which is core to our DNA. We're also seeing new and existing enterprise customers choosing to include products like Docebo Connect, Docebo Content and Shape for the training programs right from the start, especially after having made a commitment to upgrade from their under featured legacy system. Geographically, North America continues to be our strongest and best developed market with the largest greenfield opportunity. Turning to Europe, traction in both the UK and Nordics market has been excellent, both had strong quarters characterized by some large enterprise deal wins. We will leverage this success as we look to other European markets, such as our recently formed DACH region. [indiscernible] we're seeing our modern architectures stand out incredibly well. The team we have built in Australia is particularly strong and works exceptionally well with a growing partner network across Australia, New Zealand and the wider APAC region. OEM partners delivered a very solid quarter, having that same quality to our pipeline as they expand our reach into the enterprise space. We're pleased that [Aaron Craft] (ph) has joined Docebo to lead the OEM technology partnership practice. Aaron brings over 25 years of SaaS and software sales and partnership experience across many industries and technologies from start-ups to mature companies such as SAP. Aaron will concentrate on increasing existing partnered value as well as bringing on board select net strategic partners. Turning more directly into our sales team, we're pleased with the key people additions we've made and the traction they have delivered so far. The executive talent that we've been able to recruit will further mature our go-to-market motion and customer experience. More recently, this has included investments in marketing where Ryan Brock was named our new CMO. Ryan joins our team after serving the marketing leadership roles at a companies like Dataminer and ADP. His immediate focus will be on driving demand generation and elevating our brand visibility as well as partnering tightly with our Chief Sales Officer, Nina Simosko to accelerate growth and announce our go-to-market machine. In conclusion, I want to summarize why we're so excited about the future of our company. Through the Docebo learning suite we're uniquely positioned to support our customers end to end learning needs. While others in the tech industry are slowing or even stopping investments in hiring, Docebo will continue to invest responsibly by managing performance very closely and hiring key talent to drive long-term growth. I would now like to hand the call over to Sukaran for a review of our financial performance.
Sukaran Mehta: Thank you, Alessio, and good morning everyone. For those interested, a detailed breakdown of our financial results for the three and six months ended June 30, 2022 can be found in our press release, MD&A and financial statements, which are now available on our website and are also filed on SEDAR and EDGAR. The slide deck accompanying this earnings call was made available on our Investor Relations website this morning. We were pleased with the results for the quarter with revenue growth and profitability reflecting the balanced approach to the way we invest and manage our business. The weight of the macroeconomic factors aside, there is one thing our new and existing customers are making very clear. Technology investments, more specifically, software investments that increase productivity, enhance sales enablement and drive revenue generation are the investments that they're committing to their organization. With this secular trend as a tailwind, we remain confident about our long-term growth prospects. Now to the results. Total revenue increased by 47% after adjusting the impact of foreign exchange and excluding a one-time cumulative catch-up of $1.1 million that was previously disclosed in our Q2 2021 filings. As reported, total revenue for the first quarter grew to $34.9 million, an increase of 36% from the prior year. Subscription revenues were $31.9 million, representing 91% of our total revenue for the quarter. Annual recurring revenue for the quarter was $138.2 million, an increase of 51% after adjusting for the negative impact of approximately 3 percentage points, given the significant strengthening of the US dollar relative to foreign currencies. Our company wide average contract value or ACV increased 21% after adjusting for the impact of foreign exchange. As reported, company-wide ACV was up 18% to approximately $45,000 from $31,000 at the end of the second quarter of 2021. ACV for new customers in the quarter was approximately $45,000. New and cross sell logos with ARR greater than $100,000 represented approximately 30% of the net new ARR. ACV from new customers declined sequentially as a result of the lower contribution from deals valued over $100,000. This is a direct result of the elongation of the enterprise sales cycle we previously discussed. Although this percentage may fluctuate from quarter to quarter, the sales pipeline in the enterprise segment remains healthy and our win rates are strong, particularly when external and hybrid use cases are involved. For a bit of additional context, more than 80% of our ARR comes from customers with multiple use cases with 61% of our total book of business coming from external hybrid use cases. These in effect reflect the stickiness in our platform and strategic role we play with our customers. Gross profit margin for the second quarter improved sequentially to 80% of revenue, which is consistent with the prior year period. Total operating expenses for the second quarter decreased to $25.9 million from $26.8 million for the prior year period. Included in the $25.9 million of operating expenses is a foreign exchange gain of $4.9 million that relates primarily to the cash on our balance sheet and is therefore for the most part, unrealized. Operating costs, excluding this gain were $30.8 million, slightly higher than the $29 million in operating cost reported on a comparable basis in the first quarter of 2022. G&A as a percentage of revenue declined to 21.7% for the second quarter compared to 23% for the first quarter. Sales and marketing expense decreased slightly as a percentage of revenue to 42.6% from 42.9% for the first quarter. R&D investments in the second quarter were $6.1 million or 17.5% of revenue compared to 19.3% in the first quarter of the current year. With the bulk of our R&D team residing in Europe and the strengthening of the US dollar, we experienced a 2 percentage point benefit in our R&D organization. Adjusted EBITDA came in at a loss of $0.3 million for the second quarter of 2022 compared to the adjusted EBITDA loss of $1.3 million for the first quarter. We reported a net income of $2.1 million for the second quarter of 2022 compared to $7 million net loss for the first quarter. We ended the quarter with a healthy cash position with net cash and cash equivalents of $212 million. While the cash continues to generate positive interest income in this rate cycle, our strong capital structure gives us the flexibility to invest strategically. I'm also pleased to report positive free cash flow of $0.9 million in the second quarter, which was ahead of plan. The natural growth in our business has allowed us to achieve the level of scale that is beginning to deliver operating leverage. Before opening the line to questions, I want to close with some thoughts on three items. First, share-based compensation, a question that has been coming up more frequently since we reported Q1 results back in May as investors evaluate some of the embedded cost high-growth companies have had to bear to attract and retain top talent. Our share-based comp as a percentage of revenue was approximately 4% in the second quarter are relatively modest number when compared to peers with similar high growth rates to Docebo. Ensure interests are aligned we will always balance the use of equity compensation to drive performance with the goal of maximizing value for our shareholders. The second point I want to leave you with is that, as the US dollar continue to strengthen into the second half of the year, our as-reported revenues and expenses will be impacted. With rates at current levels, revenue growth will see similar headwinds, while R&D investments will see some benefit as these roads are mostly located in Europe. And lastly, we expect to deliver modest improvements in EBITDA and free cash flow as we move forward through the second half of this year. Our focus remains on making investments that will drive long-term growth while maintaining optimal unit economics. That concludes my prepared remarks. I'd like to turn it over to the operator now to take some questions from the analysts. Operator?
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Your first question comes from Daniel Chan with TD Securities. Please go ahead.
Daniel Chan: Hi, good morning guys. So, you commented on the macro uncertainty lengthening the deal sales cycle. Can you comment on the pipeline, however, are you seeing a change in the composition of your pipeline in terms of enterprise mix?
Claudio Erba: Sure, Daniel. Claudio, speaking. Actually, the pipeline is growing. We were focusing on [indiscernible] pipeline in the past few days, because we wanted to understand if the macro environment has impacted the demand or only extended the sales cycle where especially in the larger enterprise deals, which we see as deals above $100,000, usually CTO and CSO step in to negotiate better the deal and the contract. So, this month we see an extension on the -- in the procurement phase, we do not see any decrease in the pipeline in term of growth, and this is the deal size to the fact that the total addressable market, especially the eternal use case is mostly greenfield. So there is demand for the product. There are only buyer that are a little bit more careful, because they don't know where inflation is heading or where macroeconomic situation will shape in the next few quarters. [indiscernible] do you want to chime in and extend the [indiscernible].
Alessio Artuffo: Yes, 100% on top of what Claudio shared. I'd like to add that not only we're seeing pipeline remain strong, we're also recognizing that we have margins for improvement and upside. We have instilled a new CMO and our bolstering what our demand gen and business development teams investing in these teams to really continue to focus on pipeline creation. So net-net is pipeline continues to grow. We have margin for upside and we're working very hard on it.
Claudio Erba: And Alex, sorry, one point to -- you chime -- you said a good point, which is, yes, the pipeline is growing, but do we have the opportunity to make bigger pipeline if we work better internally with the coordination between sales, marketing, demand generation, etcetera, etcetera. Yes, internally we do have room to improve, and the hiring we made with Ryan, with Nina and Alessio which is still hasn’t grown and [indiscernible] for two times zone, for Europe and Italy are the airports that we are putting in place to increase the pipeline. because I mean, it's up -- it's still a greenfield market, especially for the external use case and the total addressable market is so big that we have all the leverage we need to improve internal operations and create a bigger pipeline. That said, the [indiscernible] the pipeline today compared to the past year is impressive. And we are happy about that.
Daniel Chan: That's very helpful. Thanks guys. You also mentioned that the OEM channel was very strong. Can you just give us an update on how meaningful Ceridian is to your sales? They continue to perform very well last quarter with a large proportion of their customers taking on their full suite, which I believe includes your solutions. So just wondering if they are still a large contributor as they had been in the past? Thank you.
Sukaran Mehta: Yeah. Dan, I'll take this one, Sukaran. Good morning. On the OEM side really strong performance across the board from the Ceridian you mentioned and MHR, they both scale well, we had a pretty good quarter with Ceridian and I don't generally have given you an insight there by a factor that one of the bigger contributors to the ARR story and this stay consistent in that way. So we are very pleased with their performance this quarter.
Daniel Chan: Thanks.
Operator: Your next question comes from Martin Toner with ATB Capital Markets. Please go ahead.
Martin Toner: Good morning, everyone and thanks for taking my question. Guys, we've had this question so many times, maybe in the past. It's great to see you guys give some detail on size of external enterprise. Can you kind of unpack that TAM a little bit for us and give us some further details?
Claudio Erba: Sukaran, can I say something or we are moving this to the investor relation.
Sukaran Mehta: No, Claudio, we can say some of the stuff to understand. Go ahead.
Claudio Erba: Okay. Martin you made me happy, because [indiscernible] speaking about macro macroeconomic [indiscernible] pricing total addressable market is exciting. So what we see is, first of all, you have to know that 61% of our revenues and 80% of our use cases, Sukaran correct me if I'm wrong with the numbers, are hybrid, that means that we are covering at least one external use case. So two departments, one internal, one external is hard for us. External use case only in United States is two time bigger than the internal one. So if we see as a total addressable market in learning, North America only, US and Canada mainly has 8 billion, two-third of this is external, but the exciting data is not only that [Alpha] (ph) is external, and we are very good on those use cases, but 70% is greenfield. I was speaking with the BBR team yesterday in Toronto, and they say, you know, every time a customer coming for an internal use case [indiscernible] them also for an external training, they are shocked because they never think that there is an external training opportunity and so for us, it is a great segue to increase the ACV during our sales pitch the ACV potential during the sales pitch. So just to recap, $8 billion North America, two-third external, of this two third 70% is greenfield market, that means customers that are not yet using [indiscernible] train their partner, customer or other audience, I mean, AWS training, they are skipping there payment service [indiscernible] recently. It's now targeting only customer of [indiscernible] but also people that want to be become cloud engineers, so the audience is incredibly big.
Sukaran Mehta: Hi, Martin. I’ll just say we'll leave some of the finer detail for our Investor Day, which will happen in the latter part of this year and there is some more details we will unpack at that point.
Martin Toner: That's great. I'll give a follow up to the technology vertical is quite significant for you guys. And I believe it skies to less mature companies, those companies are I think sharpening their pencil more than most. Can you talk a little bit about the strength or if you're seeing any weakness in that vertical?
Claudio Erba: Alex, do you want to take it?
Alessio Artuffo: Yes. Look, when we talk about our ability to manage multiple use cases, we also oftentimes referred to the concept of the hybrid use case. We use that terminology internally to refer to the ability of an organization to effectively consolidate multiple needs, whether it's various internal use cases such as onboarding enablement, professional education, compliance to name a few or external use cases, customer add, the partner add and others to name a few into an all in one solution. We've referred in the past of this all in one as federated solution, meaning a platform that effectively manages multiple cost centers learning needs in one platform. That itself is a recession-proof approach to the market because it allows an organization that may have in fact different point solution to reducing complexity and working with one quality vendor with one quality platform to deliver effectively the same goals. So our, let's say, recession-proof response is to navigate those customers that are having challenges or concerns and actually transforming that concern in an opportunity for us.
Martin Toner: Okay, great. Thank you. And that's all from me. I'll pass the line.
Operator: Your next question comes from Stephanie Price with CIBC. Please go ahead.
Stephanie Price: Good morning, and congrats on the Chipotle win. The press release mentioned that it was a replacement. Can you talk a little bit about why Chipotle chose Docebo? And maybe as a follow-up, can you talk a bit about the percentage of wins that are full LMS system versus the more targeted use cases that I think you typically provide.
Claudio Erba: Stephanie, I’ll answer the last part of the question and then next we will go directly on the use case. I see the marketing [indiscernible] we don't like -- I mean, it's a business that for us is legacy, the centralized project which you define pure LMS. We are excited on department that means customers that are buying Docebo to train on the heart skills, we are ultra-excited about external training. So if you define LMS in general as global project, this is not our sweet spot. Alex, are you going to take the Chipotle one.
Alessio Artuffo: Sure. Stephanie, we're also super proud of wining the business of Chipotle and whilst you can appreciate, I can say which vendor we have displaced. I can also tell you it is one of the more frequent enterprise based vendors that we deal with. I'd say the theme around displacement is also very coherent and consistent with others that we see, particularly in the enterprise space. And those themes are the ones that Claudio partially mentioned, our ability to flex architecture, to provide a distributed environment, to be generally speaking more agile in both the deployment and in the capabilities of the system. I could oversimplify it by saying in modern system versus an old school legacy system that's more rigid. More interestingly perhaps from a QSR standpoint and so kind of double clicking on the specifics of Chipotle is QSRs have certain needs in the area of reporting and in the area of analytics management that are quite specific to how they run their business, manage the franchisees and then to run analysis of productivity of their people on a location basis for example. And so Docebo provides a certain type of management in our organization chart grouping. It's fairly hard to do that positions us from a capability standpoint in a very unique place. And there is no -- it's not a surprise that as we quoted in the script, we won a lot of business in QSR and we believe that space continues to be really hard for us and we're making intentional marketing effort to win more and more of it. I hope that answer, Stephanie.
Stephanie Price: It does. Thank you very much.
Claudio Erba: Thank you, Stephanie.
Operator: Your next question comes from Richard today with National Bank Financial. Please go ahead.
Richard Tse: Yes, thank you. So it looks like you are still fairly motivated in terms of spending to serve harvest opportunity, what are your thoughts here on LTV to CAC as you sort of move up. Can you maybe share some trends that you've seen internally and perhaps what you're sort of targeting for as we look ahead?
Sukaran Mehta: Yeah, Richard. I'll take that question. Sukaran here. I think in general, we will provide some more information about our LTV to CAC when we report Investor Day. But I think that some data points that will help you think about it, and I'll come back to the question overall about growth versus profitability we are getting. So from a -- without getting too add through the CAC which we haven't disclosed publicly yet, but I think one channel a data point that will help you is that as we think about how we are tracking from a net dollar retention perspective we're tracking consistent or slightly higher above what we had reported last year. Of course, we disclose that once a year. But that gives you a flavor of that we continue to see strength on the expansion side of the business as well as what is important to note and one of the data point I gave in addition this quarter was that, 80% of our customers use us for multiple use cases with 61% of that customer using us for external and hybrid use case. And so when you think about that, that also drives that net retention ratio strong for us, effectively gross retention is extremely strong for us. And that's important to note. When we think about the overall phase of investments that we will continue to make, I think the cornerstone of our long-term strategy has always been to manage Docebo as a rule of 40 company and we'll continue to do so. When you heard Alessio talk about the fundamental growth drivers being LC see and they are intact, where we see the external use case being twice the size of the internal use case, I think it's fair to assume that Docebo will remain at rule of 40 business with growth being the bigger contributor and the focus from our perspective with us driving some incremental leverage, operating leverage and profitability into the Rule of 40.
Claudio Erba: Sukaran, let me add one point that you mentioned when you see this there is a direct correlation as to the number of use cases we cover and KPI performance, every KPI performance. That means, the more use case we cover the more all the positive KPIs goes to them. I mean from conversion, LCV, ACC, retention and everything. So there is direct correlation and this is why I'm happy with Docebo, not only cover [indiscernible] but internal plus external.
Richard Tse: Thanks. And then my follow-up question is sort of tied to that. If I sort of look at the name, let's say, four, five years ago when we started looking at it, it seems like you've made some, I think meaningful changes as you get bigger in terms of the go-to-market. Can you maybe talk about how that's evolved over time? And then what we should expect here going forward over the next 12 to 24 months?
Claudio Erba: Well, actually there is a dual correlation from product capabilities and the market you can cover. Docebo is a very [indiscernible] in a positive way sophisticated solution. The more you're sophisticated the more you cover the needs of sophisticated buyers. Small business, 30 people company don't need Docebo. Complex business required scalabilities and multi-use cases, you know that we started stressing the market with the -- with the concept of fulgurated learning, that means one technology that over multiple use cases and that from the internal uses then point to the admin is perceive as is old technology because it's so tied to give use case that the admin as perceive Docebo as its own technology [indiscernible] another peer in another department is using the same technology with a different solution or use case. So the more we evolve the more we go off to market. The next challenge is not only going up market, but the more we evolve the more we wanted to cover a multiple use cases in the organization. If I have to say what is the biggest duty of Docebo in the next year is expand use cases across customer organization. So not only expanding up market in term of sites, but expanding use cases in all the organizations that we have.
Richard Tse: Great. Thank you. That's helpful.
Operator: Your next question comes from Josh Baer with Morgan Stanley. Please go ahead.
Matt Wilson: Hi, it's Matt Wilson on for Josh Baer. Thank you for taking the question. Back to the elongating sales cycle. It sounds like it's mostly impacting larger customers at this point, you talked about expectations for longer sales cycles to persist throughout the year. Do you think this trend could move down market and impact kind of like your smaller customers? And maybe just a little bit more details about the nature of the deals that are kind of getting pushed back. Is there certain customer verticals or geographies where you're seeing these elongating sales cycles more frequently?
Alessio Artuffo: Thank you so much. Alessio, speaking. Elongated sales cycles have been a theme in this environment. You're absolutely right. The reason why we're seeing that in deals, generally speaking deals above 100K and/or you can associate that with our more enterprise, that customers we're seeing companies changing or making the buying process more complex within their own environment. And we know among those changes is the inclusion or introduction of C Suite, there wasn't prior necessarily involved in certain spend thresholds at all levels. And this is causing more authority metrics involvement that do affect the way the sellers bring a deal over the finish line. We believe this type of behavior, this matrix of approvals is more typical of larger companies than smaller companies. And we attribute the fact that we haven't quite seen that issue in the smaller market again for the same reason I just mentioned. I can't predict the future and I don't know that anybody really can. And I can't say whether this is going to change also in the small-market and mid-market or not. As of right now, we haven't seen that signal, but if we do, we will certainly report that. With regards to what we're doing about it, right, is we're getting earlier in the cycle to try and understand exactly what the process in the company is and we're not just checking, but we're double checking and triple checking and checking multiple times what the road to signature is, what we're finding interesting is, sometimes buyers in this environment don't even quite know themselves because things are changing on their end without frankly a clear communication inside this companies. And so the elongated cycles are also by product all the confusion the governs inside this companies where three months ago you used to buy in one way and now it's different. But we remain optimistic because we believe it's a timing factor and we will control everything that we can.
Sukaran Mehta: And I think the only point that I’d add to that is that, in this cycle this is from our perspective, it gives us position of strength. As you think about Docebo as a federated LMS, where we can consolidate various platforms, what is also happening is that, we see CTOs and CFO stepping in and asking the question of why Docebo can serve all their needs and why they need to have multiple platforms. And firstly, where our platform solves their revenue generating operations of their businesses, this from our perspective the consolidation of the LMS space will also help us as we move through this kind of cycle of more C-suite stepping into the approval process.
Matt Wilson: Thank you. That was helpful. And then maybe one more, we saw the Chief Marketing Officer announcement yesterday, and congrats on announcing that. And you hired Chief Sales Officer earlier this year. Can you kind of talk about the strategic priorities going forward for the go-to-market? Where are the incremental like areas of investment?
Unidentified Speaker: Alex, you want to take it. [Multiple Speakers] perspective. Sorry, [indiscernible] perspective is, we needed -- I mean, we need seniority in the organization. We need [indiscernible] we need the people that when joined organizational look at our reality from a deeper entangle. Don’t forget that Claudio is here since 17 years and other 10. And Sukaran, not that much, but I mean three of Sukaran looks like 15 years. So we need to develop. And yesterday Nina stopped me in the – of the office in Toronto and she start say, Glenn, we have this opportunity, that opportunity, opportunity, that when you are granted by all the activity and you look at Docebo as you have always looking from the day one that you don't see and you don't perceive. So for us it is a great help and we want this kind of super energetic culture feet executors [indiscernible] people in the organization. Alessio, sorry, [indiscernible].
Alessio Artuffo: [indiscernible] Great question. Really appreciate it. First off, I just want to reiterate how proud we are to have those folks having joined us, Ryan, Nina and other senior management leaders. You know the goals you have and what are the priorities. At a very high level we're preparing the organization for the next phase of growth, we started in the past, where 100 plus million in ARR, what do we need to get the 500 stage and beyond. So that's point number one. For two, of course, Claudio’s point is also equally paramount, right. The general need of seniority. Point number two is preparing the company to continue in what is needed to execute at scale and continuing to go up market. Creating a true enterprise motion implies a lot of work on many fronts, not only sales, we need to revise overtime and involve how we show up and we need to work hard on continuing to affirm our brand globally, which is a lot of work and requires people that know how to do it and build the teams around that. Definitely continuing to scale demand is a hard job, and the balance between demand and sellers in seat is a job that requires deep alignment between CMO, CSO and we believe that with Ryan and Nina we have the right people to execute on that. I'd say Nina brings experience of working in very large organizations like SAP, like NTT and when you work with these leaders you understand very quickly that they see immediately the opportunities of scale. And so, all in all, it's -- there is many opportunities focusing on verticals, focusing and approaching certain markets like government that – what we just need to execute with the leaders that have been there, that have done it and to go faster.
Matt Wilson: Thank you.
Operator: [Operator Instructions] Your next question comes from Christian with Eight Capital. Please go ahead.
Christian Sgro: Hi. Good morning, and thanks for taking my questions. I just wanted to ask on the competitive landscape there. Maybe you could frame down the context of how many bidders you're seeing at Docebo [indiscernible] win rates, just are you seeing any changes in the competitive landscape for your product?
Claudio Erba: So, we see competitors that are becoming more and more aggressive and more good, means that they are learning how to compete against us. Which is a great thing, because, I mean, competition puts pressure also to us to improve our sales. Just to better give you a picture use case by use case. Legacy LMS, global use case is a consolidation game, cornerstone has eaten all the legacy -- I will review that they were dinosaurs or legacy competitor. So [indiscernible] are now part of this organization and there is only another player, which is SAP success factor, but this is a game that we play, but we play it in another strategy, which is aiming with HCN vendor, which is a strategy that pays back very well. Departmental use case, we see stronger competition in one vertical segment specifically, which is sales enablement. There are -- it's a big fragmented market with many players and it's not only in LMS name. I mean sales enablement is a set of tools from coaching to content to orders that when you have a great storytelling, that speaks only one language which is the language of the sales enablement training department. We sometimes suffer against those competitors. The same with when there is a consolidation of a multi department purchased, those players cannot extend horizontally inside the organization. Also customer community has external use case require vertical features and specific knowledge. This is a competitive landscape in a competitive area. That said, I think that the future gap compared to sales enablement is a little, we think that we are already especially with the social learning of Docebo share is very well positioned for this. But if I have to imagine competitive landscape, I would say that the biggest pressure is the sales enablement and customer [indiscernible] do you want to go more in detail about that.
Alessio Artuffo: I'd just like to add Claudio just incrementally that from a changes in real rate, Christian, we remain really, really happy about our win rate well above industry standards and continue to watch it and monitor it, but we're very positive despite the dynamics that Claudio mentioned, win rates are still really good.
Christian Sgro: That’s great. Thanks for the color. And I’ll ask one follow, maybe more for Sukaran. Just on the gross margin profile of the business, maybe in the near term help us think about the model where gross margins can land. And I imagine that would be balancing scale with support work, where do you think this could trend from this quarter?
Sukaran Mehta: Yeah, I think, Christian, we generally don't give guide. But I think in general, I've been consistent and we stay consistent on messaging, we're very comfortable in where the gross margin is, low 80%, we'll see some operating leverage as we move into the future. Not in the immediate future, but I think where we landed this quarter. We're very happy with it and we're more than happy to leave it there and continue to help our customers from investing in professional services as we help them from a customer success perspective that actually yields long-term opportunities to make sure that we happy customers we help them through their learning journey and expand them over time. So more than happy to give our gross margin in low 80%.
Christian Sgro: That's helpful. Thanks for taking my questions.
Operator: Your next question comes from Suthan Sukumar with Stifel. Please go ahead.
Suthan Sukumar: Good morning, guys, and congrats on the quarter. I want to touch on EBITDA and cash flow for a second here. I think you said in your opening remarks that you guys do expect to see modest improvements in EBITDA and free cash flow in the quarters ahead, which I believe is that obviously had a schedule. I'm just wondering if there's -- has there been any change or timing change in kind of pace or timing of investments or is this really just a reflection of the operating leverage that's building in the business.
Sukaran Mehta: Yeah, good question, Suthan. I think the general answer from our perspective is, we -- as you think about us -- the operating leverage that come in the system, we of course work really hard to continue to optimize those unit economics. Majority of the leverage that you're seeing come through as you can see in the numbers, is G&A, right? and some R&D as well. And so, as you think about the future quarters as well, I think the general operating leverage will continue to come from G&A and small bit from R&D and COGS. I think from a free cash flow perspective that's -- I like to look at it from annualized basis, you would have seen in first quarter, we had some prepayments, et cetera, they go out and so it's lumpy. But I think from a directional perspective free cash flow and EBITDA will incrementally or modestly improve as we move forward.
Suthan Sukumar: Okay, great, that's helpful. And [indiscernible] you guys touched on some metrics with respect to cross sell. Can you talk a little bit about some of the traction you're seeing on the expansion front, especially with the new product suite? And I’m curious to know what sort of products and modules you going to see the strong attach rates with?
Alessio Artuffo: Sure. Hi, Suthan, Alessio speaking. When it comes to extension, I think you correctly sort of implied, we view that world in upsells, meaning, the ability to grow in existing customer and cross sells will develop relations in that new contracts that stem from an existing entity. On both fronts I think they are going really well. The second one is a slightly different sales motion, right? It is a lot closer to what one would call a net new logo in the sense that we're adding conversations with buyers that aren’t effectively using the platform yet is not one of their sister companies or affiliated entities are using those. So we leverage that and we get better and better, doing at that. On the scale basis we've introduced technologies and methods for proper account planning. That's a tactic that kind of a prerequisite to scaling true and proper cross selling. And we're pleased with the initial results of that efforts. On the upsell front, you're correct that new products and new modules are a big driver of it, it's not the only one, because we monitor and manage adoption of our software and we like the report that many of our upsells that actually uses plan increases, which is a testament to the fact that our customers not only buy a software they use it, they adopt it, they exceed their user plan and to come back in for more usage. Where what we'd like to improve in the future, where we believe we have an opportunity in product strategy and go to market motion improvement is to really tie better our ability for increased use cases. And let's say, jobs to be done in other words with capabilities that yield incremental value and incremental monetization. So that's a little bit how we are thinking about it, but today products like Connect, product like Docebo Content really fantastic outcomes, shape that has started as rather green product but continues to evolve and capture market -- and capture market share. Those are the ones that we're seeing across the newer ones, succeeding the most and then we have our existing products in our product mix like extended enterprise and coach and share and [indiscernible] that are continue to do really well. So that's the recap on both upsells and cross sells.
Suthan Sukumar: Great. Thank you for the color. I'll [indiscernible].
Operator: Mr. Erba, there are no further questions at this time. Please proceed.
Claudio Erba: I was saying that, first of all, thank you for attending the earning call. Second, we've got many questions, so you get a very busy today, which is good, because this is good. And thank you so much for attending these earning call. Let’s meet next quarter. Thank you so much.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating, and ask that you please disconnect your lines. Have a great day.